Operator: Good morning, and welcome to Newmont's Full Year and Fourth Quarter 2019 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Jessica Largent, Vice President of Investor Relations. Please go ahead.
Jessica Largent: Thank you, and good morning, everyone. Welcome to Newmont's full year and fourth quarter 2019 earnings conference call. Joining us on the call today are Tom Palmer, President and Chief Executive Officer; Rob Atkinson, Chief Operating Officer; and Nancy Buese, Chief Financial Officer. They will be available to answer questions at the end of the call along with other members of our executive team. Turning to Slide 2. Please take a moment to review the cautionary statements shown here and refer to our SEC filings, which can be found on our website at newmont.com. And now, I'll turn it over to Tom on Slide 3.
Tom Palmer: Thanks Jess. Good morning and thank you all for joining our call. Newmont has a track record of superior operating and financial performance and we are continuing to build on this proven record like seeding the commitments we made early last year. As we enter our centenary year, I'm excited about the opportunities we have in front of us to safely deliver superior value for all of our stakeholders. Turning to Slide 4 for a recap of our major achievements. In 2019, we continue to lead in environmental, social and governance stewardship by achieving our public targets and being recognized as the gold industry leader for our performance. Last year, we completed two historic transactions, creating the most balanced portfolio of long-life assets with the ability to generate robust free cash flow for decades to come. We produced 6.9 million gold equivalent ounces, including 6.3 million ounces of gold at all-in sustaining costs of $966 an ounce in line with our full year guidance. We generated $3.7 billion in adjusted EBITDA and realized significant value from the Goldcorp acquisition exceeding our targets. We also reported the largest reserves in company history with an industry leading 100 million ounces of gold reserves. We drove improvement across our portfolio and have now delivered $2.7 billion in value through our full potential program since 2013. We also delivered four projects on four continents on time and within budget and approved full funds for our next expansion at Tanami. We reached agreement to divest Red Lake, KCGM and our holdings in Continental to generate more than $1.4 billion in cash proceeds and we returned an unprecedented $1.4 billion to shareholders last year with $900 million in dividends and $500 million in share buybacks. This is unmatched in the gold industry. Our 2019 performance is evidence that we continue to deliver on our commitments. Turning to Slide 5. We are making excellent progress and exceeding our commitments the value delivery from our five new operations. At the start of last year, we made a commitment to deliver $365 million of run rate improvements per annum by the end of 2021. I'm very pleased that we are on track to exceed that commitment by nearly 40%, realizing more than $500 million of cash flow improvements in 2021 through accelerating G&A and exploration synergies along with higher than planned full potential improvements at Peñasquito and Cerro Negro. This year alone, we expect to achieve $340 million in cash flow improvements representing over 90% of the commitment we made for value delivery from this transaction. Each of our accomplishments was grounded in the safety of our people and the sustainability of our operations. Turning to Slide 6, improving safety remains our relentless focus for all of us here at Newmont, ensuring that everyone working in our business can return home safely to their family and friends is paramount. Through our visible caring leadership and the integrated systems we put into place to manage risk consistently across our global operations, we are working to significantly and sustainably improve our safety performance. My expectation is that everyone who works in our business understands first and foremost the fatality risks associated with their work and are ensuring that the critical controls that are required to manage them are in place at all times. A robust safety culture is one that is constantly reinforcing systems, behaviors and actively sharing lessons learned from serious incidents. This is fundamental to the wellbeing of our people and underpins our operating performance. Now sustainability performance is also about consistent application of sound governance practices across our global business coupled with the quality of our engagement and the relationships with key stakeholders. As a measure of our industry leading performance, we were honored to be recognized as the top gold mining company by the Dow Jones Sustainability Index for the fifth year in a row. Turning to look at our global portfolio on Slide 7. Our world-class assets are located in the most balanced and favorable jurisdictions. We have the industry's largest gold reserves at 100 million ounces with nearly 90% located in the Americas and Australia. This offers Newmont shareholders exposure to 124 gold reserve ounces per 1,000 shares. Our reserve base also provides significant exposure to copper, silver, zinc and lead representing an additional 63 million gold equivalent ounces. Across our 12 operated mines and two non-operated joint ventures, we have an average reserve life greater than 10 years with mine lives at our largest assets, Boddington, Tanami, Peñasquito, and Ahafo extending well into the 2030s underpinning the strongest and most sustainable portfolio in the industry. Turning to Slide 8. We will produce a steady 6.2 million to 6.7 million ounces of gold per year through 2024. In addition, we will generate $1.5 billion in revenue each year from producing between 1.2 million to 1.4 million gold equivalent ounces with silver, zinc and lead from Peñasquito and copper from Boddington. Combined we deliver nearly 8 million gold equivalent ounces per year, the most of any company in our industry. Turning to Slide 9. Even during a year involving the closing of two historic transactions, our full potential program remained as strong as ever delivering $430 million of value in 2019. Looking forward, all-in sustaining costs are expected to improve from $975 an ounce in 2020 to $850 an ounce in 2023 through the delivery of our full potential program and ongoing investment in profitable projects. Over this time, we will maintain our capital discipline through investing approximately $1 billion of sustaining capital per year to cover infrastructure, equipment and ongoing mine development. With that I will turn it over to our Chief Operating Officer, Rob Atkinson, on Slide 10 to review our operational performance.
Rob Atkinson: Thanks, Tom, and I'll start with an update on Australia's performance on Slide 11. In 2019, Australia produced more than 1.4 million ounces of gold at all-in sustaining costs of $908 per ounce. At Tanami, we delivered a record year for production and costs with 500,000 ounces at an all-in sustaining cost of less than $725 per ounce. Through our full potential program, we delivered significant value from improvements at the pace plant and with greater pace fill reliability, the site can continue to sustainably increase mine productivity. Successful delivery of the first Tanami expansion project in 2017 and the Tanami power project in early 2019 have enabled this performance and established a foundation for us to continue expanding this terrific asset. Our next phase of investment in Tanami expansion 2 has a potential to extend the life beyond 2040. We'll reduce operating costs by over 10% and will provide a platform for us to further explore a prolific mineral endowment in the Tanami district. At Boddington, we produced approximately 850,000 gold equivalent ounces in 2019 as full potential programs in mining and processing led to improvements in truck and shovel productivity as well as increased gold recovery. Our planned stripping campaign in the South Pit is progressing very well. In fact, full potential improvements to truck and shovel productivities have accelerated the time when we will reach higher grades to earlier in 2021. And at KCGM, we completed the sale of our 50% ownership in early January. We are supporting Northern Star and Saracen by providing transitional services through the second quarter. The Australia region has consistently exceeded conversion targets by more than offsetting depletion. During 2019, Tanami added 1.5 million ounces of gold reserves, and over the last seven years, reserves have grown by more than 250% and resources have also increased by nearly 200%. Lastly, Boddington's Autonomous Haulage system was approved by our board of directors earlier this week, and this world-class asset is positioned to realize improved productivity and significant value over a 14 year reserve life. Turning to a bit more detail in Boddington's Autonomous Haulage system on Slide 12. Over the last several years, Boddington has delivered a step change improvement in operational performance, which has increased mine and mill productivities, added 4.2 million ounces of gold reserves and extended mine life well into the 2030s. These successes have now positioned the operation to make its next step change improvement, the full automation of its haulage fleet. Boddington will invest $150 million to purchase 29 new CAT 793 haul trucks. It will retrofit seven existing trucks at the site and install the Caterpillar command autonomous haulage system. This investment will enhance safety by removing people from the line of fire and reduce the potential for vehicle to vehicle interactions. These systems will also improve productivity and create a more controlled, predictable and efficient haulage operation and ultimately lowering Boddington's mining cost per ton generating an internal rate of return of more than 35%. With the improved costs, mine life is extended by at least two years from additional laybacks in the North Pit. The support we will receive from CAT will be essential to the success of this work and we have a very strong working relationship with them, which has been formed over many years. And we're also uniquely positioned to support effective implementation and operation of the fleet. Thanks to the technical capabilities and previous experience of leaders throughout our business. The adoption of autonomous haulage has true replication potential and will inform our approach to implementing these systems at other Newmont operations and projects. Now to our Africa operations on Slide 13. 2019 was a record year for the Africa region with 1.1 million ounces of attributable gold production at all-in sustaining costs of less than $800 per ounce on the back of successfully completing Ahafo’s expansion projects. We declared commercial production at the Ahafo mill expansion, which will maximize value from higher grade underground ore efficiently process ore from existing open pits and stockpiles allowing us to deliver stable production well beyond 2030.  Our team delivered yet another solid quarter and offset lower grade as the site team worked closely with the process control team at our operations support hub in Perth to drive sustainable Sag mill throughput improvements.  This is just one example of how Newmont is leveraging its global capability to consistently drive improved performance and productivity right across our portfolio of operations and projects. Looking forward as previously highlighted in our guidance, the region will step down to 850,000 ounces in 2020 as Ahafo progresses it's stripping campaign for Phase 4 at Subika open pit and advances underground development for the updated mining method at Subika Underground. With the transition to a more productive underground mining method, Ahafo has increased its reserve and resource base collectively adding 1 million ounces in 2019. Now to discuss our North America operations on Slide 14, North America produced more than 1 million ounces of gold in 2019 with a strong fourth quarter as expected. At Porcupine we successfully ramped up the Borden underground mine providing additional higher grade ore. At CC&V we recovered ounces from the VLF1 leach pad that had been deferred from prior quarters. And at Éléonore we delivered a strong fourth quarter with higher grades at Horizon 5 but expect to softer Q1 as a result of mine sequence changes. Éléonore is a complex ore body when taking into account stope sequencing, backfill requirements and grade presentation. Our technical services and exploration teams are strongly supporting the operation to integrate our geology and geotechnical models to optimize a life of mine plan that will safely and sustainably mine our reserves and extend the life of this ore body. At Musselwhite rehabilitation work is nearing completion and our contractor segmentation is progressing well with the construction and installation of the conveyor. We are on track to have the conveying system fully commissioned and the mine back at full production by the start of October at the latest. Over the last six months we've been mining ore and building a stockpile ready to feed the mill. This stockpile currently contains approximately 50,000 ounces of gold. Commissioning of the mill is progressing very well and in fact we just processed first ore from our stockpiles through the mill this week. At Peñasquito, our work to sustainably improve the cost base offers the potential to build upon an already exceptional reserve and resource base similar to what we have achieved at Boddington. In 2019, we declared gold equivalent reserves of more than 24 million ounces underpinning a current reserve life of 12 years. And operationally we delivered a strong finish to the year which we expect to continue into 2020 as we reach higher grades in the main Peñasco pit. Turning to Slide 15 for more detail, in 2019 we delivered more than $50 million in cash flow improvements from quick win initiatives at Peñasquito exceeding our market commitment for full potential delivery at that operation. When we launched full potential at site, our team quickly identified that the crushing circuit at the front end of the mill, what we call the augmented feed circuit, was the key bottleneck in the processing plant. And that working this bottleneck to sustainably increase throughput and improve the quality of crust ore provided to the Sag mills would lift the overall performance of the processing plant. Early quick wins in the augmented feed circuit, came at the secondary crusher and high pressure grinding rollers where we replicated our success at Boddington and did a direct lift and shift of control logic to immediately improve the quality and quantity of feed. Taken together these initiatives delivered record crushing throughput and record metal production for silver, zinc and lead in November. In 2020, we will continue to work this bottleneck hard and for those coming to Peñasquito next week, I'm very much looking forward to taking you through more detail on this and other important work we are doing to deliver more than $100 million of further costs and productivity improvements at Peñasquito by 2021. Rounding out the regions with South America, on Slide 16, South America produced nearly 1.3 million ounces of gold and delivered all-in sustaining costs of approximately $815 per ounce in 2019. At Merian, we delivered better than expected fourth quarter performance and I've transitioned into mining harder ore at the Merian 2 pit. Fresh rock will present higher grade and improve mine productivity which helps offset reduced mill throughput rates. Yanacocha continues stripping the Quecher Main pit as we move out of higher grade ore in the Tapado Oeste pit and we are now placing Quecher Main ore on the new Carachugo leach pad and we expect to see recovery of these ounces during 2020. At Cerro Negro, we mined higher grades as expected from Eureka and Mariana Norte and work to develop out to Emilia is progressing well as production begins to ramp-up from this new mining area later in 2020. And with that, I'll hand it over to Nancy on Slide 17.
Nancy Buese: Thanks, Rob. Turning to Slide 18, for the financial highlights. I'm pleased to report strong fourth quarter and 2019 results. During the fourth quarter, Newmont delivered revenue of nearly $3 billion, an increase of 45% over the prior year quarter with the additional sales from our new operations and higher gold prices. Adjusted net income of $410 million or $0.50 per diluted share and adjusted EBITDA of nearly $1.3 billion, an increase of 70% from the prior year quarter. Cash from continuing operations was $1.2 billion driven by higher adjusted EBITDA. Free cash flow of over $775 million, an increase of more than $300 million from the prior year quarter. With a solid finish to the year, we generated adjusted EBITDA of approximately $3.7 billion and free cash flow of more than $1.4 billion or $1.92 per share of which we paid an annual dividend of $0.56 per share. We also paid out an additional $470 million in 2019 in the form of a special dividend. Finally, in association with the $1 billion share buyback we announced in December, 2019 we have already repurchased $500 million worth of shares. Turning to Slide 19, for a review of earnings per share in more detail, fourth quarter GAAP net income from continuing operations was $537 million or $0.66 per share. Adjustments included $0.11 related to the change in fair value of investments, $0.10 related to tax adjustments and valuation allowance and $0.05 of other charges. Taking these adjustments into account, we’ve reported fourth quarter adjusted net income of $0.50 cents per diluted share. Turning to Slide 20. At Newmont, we build our annual business plan based on conservative assumptions including a $1,200 gold price and a disciplined approach through which mine plans are developed based on reserves and the best demonstrated performance of plants and equipment. Our base plan at $1,200 gold price allows us to maintain an investment grade balance sheet with a focus on our maturity profile to maintain our infrastructure and invest in mine development through a steady $1 billion of sustaining capital. We continue investing in organic growth, including approximately $600 million to $700 million of development, capital expenditures and another $250 million of exploration and $150 million of advanced project investment per annum and return cash to shareholders through an industry leading annual dividend. In January, we announced a plan to increase our annual dividend by 79% to $1 per share reflecting the confidence we have in our business to deliver substantial cash flows well into the future. The increased dividend will be effective upon approval and declaration of our first quarter 2020 dividend in April. Turning to Slide 21. We expect to generate significant free cash flow through this cycle. At current gold prices, our portfolio will generate more than $10 billion of free cash flow over the next five years and even using our more conservative $1,200 gold price space free cash flow would still total $5 billion over that same period. As shown on this slide, for every $100 per ounce increase in gold prices above our base assumption, we'll deliver approximately $400 million of incremental attributable free cash flow per year. Excess free cash will be used towards debt reduction and further shareholder returns. Looking forward, we are well positioned to continue a trajectory of industry leading financial performance by executing our capital priorities and staying focused on long-term value creation. And now I'll hand it over to Tom to wrap up on Slide 22.
Tom Palmer: Thanks Nancy. Turning to Slide 23, we continue to build momentum and are taking the necessary steps to position our business for long-term success. We remain focused on the five foundational principles of our strategy. Keeping our people safe with a relentless commitment to our safety culture and systems; growing margins through the application of our operating, technical and exploration discipline; leveraging our exploration program and unmatched portfolio to grow reserves and resources; optimizing our world-class project pipeline and maintaining discipline around capital allocation. Thank you for your time. And with that I'll turn it over to the operator to open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Matthew Murphy of Barclays. Please go ahead.
Matthew Murphy: Hi. I had some questions on some of the former Gold Corp asset reserves. I mean if we start with Éléonore, you're getting down there in reserve life now and I'm just wondering what your confidence is to extend that back out. And what are the key factors? Is it exploration or is it more about getting costs down so you can bring in more economic ounces?
Tom Palmer: Yes. I'll start off Matt and I've got my Chief Technology Officer, Dean Gehring with me here, he might have a few comments as well. But the story for me at Éléonore is a parallel to the story you'll have seen us follow at Leeville. We have got a complex ore body where you need to make sure that geology model and your geotechnical model are well aligned and integrated to form your life of mine plan. And then you take in consideration stope sequencing and backfill and the like. That is a key focus for us at that operation. So we have applied our Newmont discipline to how we determine reserves and resources. We actually have the same people that worked through the very good work we did at Leeville several years ago, Kate Williams and Dave Thornton, the very same people are working on the ground with the team at Éléonore to build those integrated plans. And if you look at Leeville today and look at the life that it has in front of it, it's a great deal of credit can be put in the hands of Dave and Kate for that work. So, we're getting those basic models and plans in place and then combining that with an exploration program combined with full potential, bringing costs down that look to extend the life with reserves and resources that meet the Newmont standard. Dean is there anything you wanted to add to that?
Dean Gehring: Yes, thanks Tom. Matthew, one of the things, a couple of things I'd like to add to that. One is, as you probably know at Newmont, we provide and apply very high standards to how we determine our reserves and resources. And let me provide a little bit of background also get and lead up to some specifics around your question around Éléonore. So our standard for our study requirements and our drill spacing far exceeds any regulatory agencies and current codes like JORC, SEC or 43-101. And I would also say we don't apologize for having those high standards because it has resulted in us that disciplined approach, it results in us being very consistent delivering against our plan. But to illustrate the point of how that plays through in our reserves and resource calculations we can look at a mine like Cerro Negro as a starting point. And so as we applied our standards to that site, we ended up reclassifying about 1.5 million ounces, but it went from reserves to resources. And because of it's still a highly prospective area we're confident that those resources are going to come right back into reserves just as we do a little bit more work. And just quickly to illustrate the point further, if we look at Peñasquito, we see that the reserves there maintained what they were before, but through our work we actually added an additional three million ounces on the resource side. But switching to Éléonore specifically your question, if we go back to what Rob mentioned earlier, Éléonore is a complex ore body. And when we apply our demonstrated performance to the mining wits and dilutions, we ended up revising about a million ounces out of there. And the rest of the revisions really came from geologic model updates similar to what Tom mentioned earlier. So the net of all those revisions resulted in resources remaining about the same at a million ounces. But those resources that we have there are at a much higher level of confidence than they were before. But I think what's important to recognize out of all this is that we know how to mine deposits like Éléonore. To Tom's point we have a strong technical team. It allows us to deploy the resources where they're needed and it allows us to take full advantage of our full potential program and also to rapidly replicate our best practices. So, we're, I'm fully confident that we're going to continue to extend the mine life there and that we're not looking at a short mine life.
Matthew Murphy: Okay. Thank you very much. And you touched on Cerro Negro, so I'll leave it there. Thanks a lot.
Tom Palmer: Thanks Matt.
Operator: Our next question comes from Chris Terry of Deutsche Bank. Please go ahead.
Chris Terry: Tom, Nancy and Rob, thanks for taking my questions. The first one is just around the autonomous opportunity that you've mentioned at Boddington. Just wondering if you can give a bit more color on the actual savings on a per ton of mining. And also just as a follow up, will you likely wait until seeing how that goes at Boddington or are you looking at other sites between now and 2021 in advance of that. Thanks.
Tom Palmer: Thanks Chris. I’ll take the second part of your question and Rob, just pulling out, he can give you the answer to the second part, if not, we can go offline and get those numbers to you. Very important part of Autonomous Haulage is to vet it down and prove the operation of that technology in our gold mining environment and to manage through the change management process associated with that. So very important part of Boddington achieving the level of performance that it has and through that level of performance extending its mine life to underpin the replacement of a mining fleet with an autonomous mining fleet is an excellent opportunity for us to bring autonomous into our business. We'd be looking first foremost at using that technology to prove up the base case for some of the key projects that we have in our project pipeline. So, it'd be the very large gold copper deposits that we've got a pre-feasibility study. So proving, proving up Boddington and having that inform those pre-feasibility studies would be the first and then if there were opportunities around our business to either replace fleet or convert fleet, we would consider that. You need to have the mine life in front of you in order to be able to justify the replacement of a mining fleet. So those opportunities may present, but it's more about presenting the base case for those very important studies we have at pre-feasibility stage.
Rob Atkinson: Chris, thanks very much for the question. And we're conservatively estimating that we're going to get a 20% improvement in productivity with the trucks in terms of the material that they can move. And that will obviously transfer to a lower cost per ton. The key areas that we'll be focusing on most of all are around the shift changes. Obviously that disappears, the maintenance requirements, the increased speed, and also the ability to get greater payloads. So all-in-all where we're sitting is about a 20% initial estimate, but obviously we're going to be hoping to push that very, very hard. And we've certainly seen some great performance in other mining companies and we certainly believe we can do that and some moving forward.
Chris Terry: Thanks. Thanks Tom and Rob. And then just in terms of the operations, thinking about the 2020 progression, Just wondered if you could highlight just sort of the quarter to quarter and half to half split. I noticed you mentioned Éléonore weak in the first quarter, obviously Musselwhite second half weighted, you've gone through a couple of the other assets, but I just wanted if you could make some comments on that. Thanks.
Tom Palmer: Sorry, just Chris, is there an operation particular you want to talk about?
Chris Terry: Just wondering in general as you go through your yearly guidance, just thinking about it, maybe first half versus second half or just items to look for on a quarterly progression. Just overall, I know you don't guide specifically to the quarter, but just things that we should look out for as the year goes on.
Tom Palmer: Chris, Tom here you are going to see a little bit softer first half to second half. You're looking at maybe softer, I mean like 48% versus 52% after half. So in my world, that's a pretty even year. [indiscernible] certainly at Éléonore has you are seeing some lower gold ounces, particularly the first quarter. Musselwhite you're going to obviously see a lower first half to second half as we start to feed ore and we're already feeding ore and in fact Rob is being a little bit conservative. We actually produced our first gold this week from Musselwhite and we'll ramp up that plant in the second half of the year. Just looking down the list of mine sites you're going to see in Africa, weighted to the second half of the year, particularly at Ahafo, as we start to get in some higher grade ore at Subika, they are going to be weighted to the second half of the year at Akyem as we get into some higher grade ore in their open pit, pretty even year through Tanami. Boddington, you're going start to see them get into some high grade in the second half of the year. So there's a weighting for the second half at Boddington. Pretty even through Pueblo Viejo, Cerro Negro pretty even. Merian you'll start to see them softer in the second half as we start to get into more of a high grade but harder ore and then start to price out through the primary crusher you lose mill productivity. Yanacocha, as we get into the Quecher Main stripping campaign, you'll see a bit lower in the second half to the first. Peñasquito, you'll start to see us move into higher grade ores in the second half. So a bit stronger in the second half. Éléonore, I talked about. Peñasquito a pretty even year. And CC&V, we'll start to see some high leach ounces coming through on the second half of the year. Does that give you some flavor?
Chris Terry: Yes, that's great. That's a very, very helpful. It's exactly what I was after.
Tom Palmer: And then one other Chris to keep in mind as you're looking at cash flow. We will start to ramp-up our spend on development capital as we start to ramp-up our work at Tanami 2. So you will see that that in the second half as well.
Chris Terry: Okay, great. Thanks for that. The last one from me, I mean, you've obviously done the mine divestments Kalgoorlie, Red Lake, where the portfolio stands today is there anything that's non-core? I don't think so, but I just wanted to check.
Tom Palmer: But Chris, there are 12 operations that we're going to drive value from, so you can see us absolutely focused on delivering and exceeding our commitments from those 12 operations. There are couple of areas that we're working on that aren't part of our core operations. One is that we have a power business in Kalgoorlie that's – that we're working through, if you remember from the announcement with Northern Star, they've got first rights to make an offer for that. That's material in terms of the value of that power business. And the other area we're doing is cleaning up our equity portfolio. So we're actively working on that. And you might see the order of, through the combination of all of those things up to a $300 million of proceeds, $200 million to $300 million of proceeds that may come from that. So I'd call that sweeping up, but it's a material number as we work to clean house in the first half of this year.
Chris Terry: Okay, great. That's all for me. All the best for the year. Thanks.
Tom Palmer: Thanks mate.
Operator: Our next question comes from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes: Yes, thank you. Question for Rob Atkinson on Peñasquito. Just curious on the work you're doing on the front-end of the plant and how that deep bottlenecking is improving the throughput versus when you acquired the asset to where you think you can get it to.
Rob Atkinson: Well thanks. Thanks very much Greg. And very, very clear that that's where the bottleneck is, that we're sitting at a rate of 37 million ton throughput for the year. We're looking again net up to 39 very quickly. Now that certainly isn't the end to it, but as you balance the different products between the gold and the zinc and the lead and the silver, you do have to balance the backend of the plant with the front-end. But we've certainly been able to choke feed through that front end and we're looking at 39 million ton throughput.
Tom Palmer: Greg, are you coming to Peñasquito next week, because we're going to go into some detail with the folks that are visiting.
Greg Barnes: Yes, I am absolutely coming and just want to jump the gun a little bit, Tom.
Tom Palmer: All right.
Greg Barnes: On full potential have you fully deployed that across all of the Goldcorp operations now? 
Tom Palmer: Rob, you want to?
Rob Atkinson: Not quite yet that we've Éléonore is very well advanced. Obviously Peñasquito is fully advanced. That Porcupine is ramping up and given where Musselwhite is at, with the conveyor that's going to be the last one to ramp-up. But on the whole we're making very, very good progress. And, even though full potential isn't ramped up fully at Porcupine and Musselwhite, the level of engagement between our technical teams and our operational teams is very significant. So we're making very good progress.
Greg Barnes: And how about at Cerro Negro. Rob?
Rob Atkinson: Beg your pardon. The Cerro Negro was one of the first to kick off that's proceeding well and again we have a terrific SME support down there and we're focusing on some key things down there. Just a handful of things, which will make a difference and the big one is improving the development rates there and the productivity of the equipment in general. And we're certainly seeing some good early wins here.
Tom Palmer: Greg both Peñasquito and Cerro Negro through the diagnosis and design phases and firmly into their delivery phases and so we're through that and we're into the 18-months delivery. Éléonore is now in there, they've been through the diagnosis and they're now in the design phase. So the two, the two assets that deliver significant value. And Peñasquito delivers huge value, we’re firmly in the deliver phase.
Greg Barnes: Yes, it looks like you could see that in the Q4 results. Thanks Tom.
Tom Palmer: Thanks Greg.
Rob Atkinson: Thanks, Greg.
Operator: Our next question comes from Josh Wolfson of RBC. Please go ahead.
Josh Wolfson: I just switching over to the capital allocation side of things with the buyback, I guess half complete within a pretty short timeframe if and when that's ultimately exhausted, I guess, prior to the full sort of timelines. How do you see that that program going forward? And I guess, what's the motivation to look at allocating funds towards that versus a dividend?
Nancy Buese: Yes, Josh, thanks for the question. So, on the buybacks, I think I would consider that really tied to our asset sales. And so between that and an opportunity to buyback shares at a very, very attractive share price, we feel like that was the right thing to do. And so, we will continue that program through the end of 2020. And we will also consider – at these gold prices when we think about capital allocation, we'll continue to manage the balance sheet and we'll think about other shareholder friendly actions. Certainly a key one of those will be to determine our appropriate level of dividend on a go forward and sustainable basis. So that's something that we will continue to evaluate and truly to remember that that dividend at $1 is sustainable at $1,200 gold price, so at a more robust pricing going forward. That's something we will be definitely continuing to revisit.
Josh Wolfson: Okay. So it’s safe to say I guess the approach seems to be windfall cash flow is attributable to the buyback and business sustainability is a focus for the dividends.
Nancy Buese: Yes, that's correct.
Josh Wolfson: Okay, great. Thank you.
Tom Palmer: Thanks Josh.
Operator: Our next question comes from Anita Soni of CIBC. Please go ahead.
Anita Soni: Good morning everyone. I'm just looking at Porcupine. Could you just talk about the changes to the reserves there? I know you moved dome from – or you said you were going to move dome from reserves into resources, but to me it looks like you've taken 8 million ounces out totally out of the global inventory. Is that correct?
Tom Palmer: Probably need to go offline with you on that one, Anita. Well, certainly, we moved some Century out of reserve into resource and we certainly kept some reserve in where we could still mine those ounces. So that might be one that we can quickly get Jason Dando and Dean to jump up the line and take you through.
Anita Soni: All right. And then when you were – you talked about or Rob talked about applying your more rigorous drill density requirements. Did you also take a look at – and this is to the overall Goldcorp, all of the assets, did you also take a look at Goldcorp's cost assumptions at this stage? Or is that still to come?
Tom Palmer: We'll get Dean to comment on that one for your Anita.
Dean Gehring: Yes, Anita, we looked at the whole suite of variables that go into calculating the reserves. So we looked at the cost assumptions and also as Nancy mentioned during her part of the presentation, we also consider best demonstrated performance. So we don't build in stretch or upside into any of our reserves or resource determinations.
Anita Soni: All right. And so given that Musselwhite perhaps won't be looking to grow as it previously did. You're okay with the cost structure that's supporting the current reserves right now?
Dean Gehring: Yes. And we also took a look at that too in terms of its best demonstrated performance.
Anita Soni: All right. And then just in terms of areas where we saw declines at other assets that you own, so – and that were within your portfolio. Can you talk about – so you had some wins at Tanami and you talked a bit about that, but could you just talk about what was happening at Ahafo South as well as at – I'm sorry, at Merian?
Tom Palmer: Again, Anita, we can probably go offline on that detail, but I mean, those Ahafo South is, is ounces coming in with the changing mining method and Merian we've got ounces coming in as we continue to drill out around the terrific story at Tanami story, here us talking more about is the Oberon deposit with the first ounces coming into resource. That's got to be a terrific addition to the Tanami’s story, but I'm more than happy to maybe jump offline and go through asset by asset and take you through that detail.
Anita Soni: All right. Thank you. I look forward to that call.
Tom Palmer: Thanks, Anita.
Operator: Our next question comes from Mike Jalonen of Bank of America. Please go ahead.
Mike Jalonen: Good morning, Tom, everyone. I just had a question. We haven't really heard much of Nevada Gold Mines. I know Mark Bristow would spoke about it. But on Page 5, your synergy value chart, Mark spoke about another $60 million of synergies in Nevada lowering the cutoff grade on his call last week. I am just wondering, do any – do those fit in on Page 5 anywhere or this was Newmont?
Tom Palmer: Yes. Mark and – terrific to get a question from you. Slide 5 is just the Goldcorp synergy. So we have built into our guidance for Nevada Gold Mines, the synergies that that Barrick have provided publicly. So that's built into our plan. But in the $500 million of cash flow that we will deliver in 2021 in the $340 million of cash flow that we will deliver this year, all of that comes from the five new operations that came into our business from Goldcorp.
Mike Jalonen: Okay. All right. I'll thank you for that clarification. So you and Greg Barton's next week.
Tom Palmer: Yes, thanks, Mike.
Operator: Our next question comes from Adam Graf of B. Riley. Please go ahead.
Adam Graf: Hey, everyone. Just a quick question. I'm just thinking down the line a bit longer term. You guys have some big projects that are JV-ed with some base metal producers, who have their own projects and their own balance sheet capacity. And I was just curious if you maybe could give us some color on how you're coordinating longer term with your JV partners in regards to the development and the timing of those projects considering their own – they're not benefiting from the higher gold price.
Tom Palmer: Thanks, Adam. So, one of the beauties of our portfolio as it's some – as it's now positioned is that we have across those 12 operations and the ore bodies that sit underneath them and the three projects that we have in either definitive feasibility study or executions at Tanami 2, Ahafo North and Yanacocha Sulfides, the ability to sequence those projects in. And they are the three projects that underpin the 6 million to 7 million ounces of steady development capital spend over the better part of this decade that Nancy was talking about those three projects plus the exploration potential of our existing assets and the opportunity to improve the performance of our existing assets give us a steady profiled north of 6 million ounces for this decade at least. So we'll talk more about that in the weeks ahead. But what that allows us to do with those three big projects, Norte Abierto, Nueva Unión and Galore Creek, that I see sitting in pre-feasibility study, is for us to work with our joint venture partners to apply some of our key strategic mine planning methodology that we have within Newmont, understand those ore bodies to optimize those ore bodies to establish a competition for capital and see which of those come forward first because we'll only implement those in series, which of those will come first towards the latter part of this decade, if not the start of the next decade for implementation. And I think that sits pretty consistently with our joint venture partners thinking about those projects. So I think we're aligned. And the beauty of our portfolio is that we have plenty of time to really optimize those projects and bring them on and we will get from each of those projects along with Yanacocha Sulfides and excellent exposure to copper as the globe goes through the energy transition. So I'm very excited about our organic pipeline and I think we can work well with our JV partners to bring them on when they are ready to come on.
Adam Graf: Excellent. Thank you very much.
Tom Palmer: Thanks, Adam.
Operator: Our next question comes from John Tumazos of John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you for taking my question. What’s the interruptions at Musselwhite and Peñasquito and the de-classifications at Éléonore and the Yukon and Dome and the Red Lake sale. All in all, are you still happy with the Goldcorp purchase? You appeared to buy it almost at the bottom and at about 30% of what Goldcorp had spent on its assets.
Tom Palmer: John, in a word yes. It's a fantastic acquisition. Those assets are terrific ore bodies. There are – there's excellent infrastructure and they are in very good hands and we're going to deliver huge value from them. So it was a fantastic acquisition and I think we're demonstrating what those assets can really do when they're in the hands of an operating company like Newmont.
John Tumazos: Is it a reasonable hope or expectation for the Éléonore resources to come back to reserves and also the Coffee, Yukon and Dome Century resources? Or should we limit that optimism just to Éléonore?
Tom Palmer: Yes, you should be optimistic about Éléonore and the upside potential as we apply Newmont exploration skills to that asset. For Coffee, we've put that study back where it should be in pre-feasibility study and it's one of the deposits that our head of exploration is very excited about. And we want at least two seasons of drilling to prove out that ore body. And what we're looking at with the Century project is understanding what that – that next life that what that next layback is at Porcupine. So we're actively working that project at the right level to look to see what – what we can do to bring those ounces into that business. And we're working – and we'll continue to work bloody hard at Porcupine to get their productivities up and improve their costs, which will further enhance the ability to bring – essentially what will be layback back into that mine.
John Tumazos: Thank you for your service to the company.
Tom Palmer: Thanks, John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Palmer for closing remarks.
Tom Palmer: Thank you everyone for joining us and thank you for your continued interest in Newmont. Have a good day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.